Operator: Good morning, ladies and gentlemen. Welcome to the Agilysys Fiscal 2016 First Quarter Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.
 Some statements made on today's call will be predictive and are intended to be made as forward-looking within the Safe Harbor protection of the Private Securities Litigation Reform Act of 1995. Although the company believes that its forward-looking statements are based on reasonable assumptions, such statements are subject to risk and uncertainties that could cause results to differ materially. Important factors that could cause actual results to differ materially from these in the forward-looking statements are set forth in the company's report on Form 10-K and 10-Q, and news releases filed within the Securities and Exchange Commission.
 I'd now like to turn the call over to Mr. Jim Dennedy, President and CEO. Please go ahead, sir. 
James Dennedy: Thank you, Vince, and good morning, everyone. We appreciate you joining us on the call today to review our fiscal 2016 first quarter results. Joining me today is our Chief Financial Officer, Janine Seebeck.
 Before we get started, just a quick reminder that on the call today we'll be discussing some non-GAAP metrics, primarily adjusted cash from operations and adjusted EBITDA, which eliminates the effect of restructuring and other items that are either noncash or nonrecurring. Reconciliations to GAAP metrics are provided in the financial section of the press release issued earlier today.
 Starting with a brief overview of our financial results, total net revenue for the first quarter was $27.5 million compared to total net revenue of $23.7 million in the comparable prior year period, representing a 16% increase. As we have highlighted on prior calls, it is important to focus on recurring revenues, which are comprised of support, maintenance and subscription services, which reached a quarterly record of $14.9 million in the fiscal first quarter compared to $13.8 million for the same period in fiscal '15, an 8% improvement over the prior year period.
 Our subscription revenues increased 23% year-over-year and comprise 15.5% of total recurring revenues compared to 13.6% of total recurring revenues in the first quarter of fiscal 2015. Gross margin was 60% in the fiscal 2016 first quarter compared with 62% in the prior year period. On a sequential basis, gross margin improved by 900 basis points from 51% in the fourth quarter of fiscal 2015.
 Adjusted EBITDA for the quarter was $1.2 million compared to an adjusted EBITDA of $500,000 in the same period last year. We had a net loss in the fiscal 2016 first quarter of $200,000 or a loss of $0.01 per diluted share, which compares to a net loss of $2.2 million or a loss of $0.10 per diluted share in the prior year period. Janine will provide a more extensive review of our financial results, including the income statement and balance sheet as well as our expectations for the balance of fiscal 2016.
 In fiscal 2015, we implemented several important changes to help us better align our business and strategic goals with the needs of the end markets we serve and to improve the value proposition to the customers in those markets. The changes we implemented favorably impacted our first quarter results for fiscal 2016. We experienced improved product revenue growth from our installed base, increased the number of new customers doing business with our company, experienced more multiple solution sales, sold more new rGuest platform-based solution and increased the percentage of subscription-based sales in the current quarter versus the comparable prior year period. 
 The trend in the business reflects our emphasis on transitioning to a subscription-based business model from a license- and maintenance-reliant business. We believe this transition will generate greater long-term value for shareholders through growth in higher margin recurring revenues.
 With respect to our sales force, we ended the first quarter of fiscal 2016 with 27 quota-carrying sales people, 13 of which are focused on new customer acquisition. Of our 27 salespeople, 15 joined Agilysys within the last year, and of the addition, all have been sales executives covering the hospitality industry, directly selling subscription solutions or both. We expect to add approximately 10 additional sales executives in the balance of fiscal 2016. And our focus remains on adding executives that have direct subscription selling experience.
 We are making consistent progress towards our goals around simplifying our business, evolving our offering and delivering against the milestones of rGuest, our next generation platform. The progress is evident in the number of new business wins, 45 in the first quarter of fiscal 2016, doubling the number of new business wins in the comparable prior year period. The markets and our customers recognize this for delivering peer leading deployment and support services, performance stability with key innovations and taking a leadership position in the effective use of cloud-enabled solution, specifically tailored towards the needs of the hospitality industry.
 Our new business wins have not only increased in number, but they have also increased across a diverse array of solutions, including InfoGenesis, Visual One, rGuest Pay and Eatec, as well as the sectors in which our customers operate, including casinos, hotels, resorts, restaurants and universities.
 Turning more specifically to each of our business sectors, starting with commercial and tribal gaming, this sector represents over 50% of our total revenues. Agilysys is the market leader in both commercial and tribal gaming. Our solutions address the needs of casino operators better than competing solutions in the market. Our solutions address the importance of mobility to help operators better engage their guests.
 During the quarter, we announced that Croc's Casino Resort in Jaco, Costa Rica, selected a comprehensive solution suite, including systems for property management, point of sale and inventory procurement, to optimize efficiency and enhance guest service throughout the new Vegas-style, luxury hotel, condominium and casino.
 An existing gaming customer with 22 properties in 8 states upgraded to the latest release of our lodging management system, LMS, while adding rGuest Pay to the portfolio solutions they use in their business. A new customer in El Paso, Texas offering world-class live entertainment acquired a bundled solution, including InfoGenesis, rGuest Pay, analytics and IG Flex to deliver a comprehensive guest experience at this exciting new venue.
 In addition, we are very excited to announce the Akwesasne Mohawk Casino Resort in Upstate New York as a new customer. They will be using our InfoGenesis and rGuest Pay solutions after switching from using a competitor's point-of-sale solution.
 In then hotels, resorts and cruise sector representing almost 28% of our revenue, we are confident that we have the right solution offerings to help lodging operators achieve added scalability, operational efficiency, reduced technology footprint and expense, while providing their guests with more personalized services.
 New wins in the hotel, resort and cruise sector include heritage hospitality in York, Pennsylvania, the owner of Heritage Hills Golf Resort and Heritage Hotel, selected a comprehensive restaurant solutions package, including both fixed and mobile point-of-sale requirements, comprehensive table management capabilities, payment processing and restaurant reservations that would easily integrate with his existing infrastructure to deliver a rapid return on investment.
 Earlier in the quarter, Hotel Granduca, a boutique hotel in Austin, Texas, which has received the exclusive -- the Leading Hotels of the World designation, selected Visual One, InfoGenesis and Eatec to streamline operations and deliver exceptional guest service. Other new business wins within this sector include the world-renowned Fisher Island Club in Florida. This world-class resort chose a suite of Agilysys solutions to manage their property, including InfoGenesis, InfoGenesis Flex and Visual One, including club membership, spa and sales and catering. As well as L'Horizon Resort & Spa, a high-end Palm Springs boutique property, a Steve Hermann hotel and member of the Leading Hotels of the World collection that will be using both rGuest Stay and rGuest Pay.
 Recently, Drury Hotels Company, which has been recognized with the J.D. Power North American Hotel Guest Satisfaction Study Award in its class for the 10th consecutive year, agreed to conduct a pilot evaluation of rGuest Stay at select Drury properties.
 Pending the successful completion of the pilot, Drury intends to integrate rGuest Stay with rGuest Pay to deploy a seamless PMS and payment Gateway solution. Drury Hotels operate over 130 hotels across 21 states under such brand as Drury Inn & Suites, Drury Inn, Drury Plaza Hotel and Pear Tree Inn by Drury as well as other hotels in the mid-price segment. We are very excited about our partnership with Drury Hotels and the impact our solutions can have on their business.
 In the food service management sector, we are pleased to have engaged Samsung Semiconductor, a new InfoGenesis subscription service customer, for their corporate cafeteria. 
 And finally, moving to Restaurants, Universities, Stadia and Healthcare, or RUSH, we see continued new openings and an increased need for more sophisticated dining experience, including online ordering and reservation, mobile service and a higher level of customer interaction. New businesses' wins in the sector include The Walker Inn, the high-end Los Angeles cocktail lounge, that chose the rGuest seat solution to streamline operation and enable the staff and management of The Walker Inn to provide superior service.
 More recently, Middlebury College in Middlebury, Vermont, selected Eatec, InfoGenesis and rGuest Pay to manage all their campus food service locations, including 3 dining halls, retail operations as well as catering for campus-wide events and private functions.
 These customer wins illustrate our traditional products remain relevant in the marketplace while fully integrating with the rGuest platform-based solution. As we transition our complete solutions portfolio and customers to the rGuest platform. Customers have clearly embraced our vision and long-term strategy, and we believe our ongoing product development work will allow customers to leverage their existing investments to enhance the guest experience over time.
 Fiscal first quarter of 2016 was a productive period on the product front as well, as we continued to evolve the scope and sophistication of our offerings and prepare existing and new customers for the rGuest platform transition. 
 We are confident we have the vision, strategy, reach, integration and the ability to execute to meet the needs of the market and deliver on our business plan to grow shareholder value. We recently announced the general availability of InfoGenesis point-of-sale version 4.4.7 and InfoGenesis Flex version 4.4.7, the latest versions of our industry-leading point-of-sale software. These new versions include enhancements that boost efficiency, help increase revenue and improve the guest experience, as well as deliver key integrations with rGuest Seat and rGuest Analyze.
 Our investment in the rGuest platform continues to experience success in bringing solutions to market, including rGuest Pay, rGuest Seat, rGuest Analyze and rGuest Stay. All these newly introduced solutions integrate with and leverage all Agilysys and most non-Agilysys products. We expect the ongoing rollout of our additional rGuest platform-based solution, such as enhancements to rGuest Stay and rGuest Buy, will help us address the evolving needs of the end markets we serve and to open new market opportunities as we focus on growing our already strong market share in the gaming and managed food service verticals, while enabling us to expand our presence in the hotels, resorts and cruise and RUSH hospitality sectors.
 Our products have received recognition from industry thought leaders, including the Business Intelligence Group, which recently named Agilysys as a 2015 Stratus Award finalist for our groundbreaking mobile point-of-sale system InfoGenesis Flex. The Stratus Awards recognized cloud offerings that are truly differentiated in the market. The theme for this year's awards program was Operational Excellence, and companies were required to demonstrate how innovation and executive strategies led to superior customer experiences and business efficiency.
 Our continued focus of maintaining strong capital and operating discipline, while pursuing the highest value growth opportunities, continues to provide evidence of success. We continue to make progress in evolving our solutions portfolio to better address our customers' needs, transform our sales efforts and improve our organization to better promote our solutions and serve our customers. We remain confident that we will continue to make consistent progress and see added growth in future periods. We believe smartly investing in our people, our solutions and our customers is the most reliable way to create greater and lasting value for our shareholders.
 With that, I would now like to turn the call over to our CFO, Janine Seebeck, who will review our financial results before opening the lines for questions. Janine? 
Janine Seebeck: Thanks, Jim, and good morning, everyone. Our first quarter fiscal 2016 revenue was $27.5 million, a 16% increase compared to total net revenue of $23.7 million in the comparable prior year period. 
 Looking at revenue in greater detail, products revenue increased $2.8 million or 45.6%, primarily due to increased sales related to our on-premise proprietary solutions, which is consistent with our key initiative to increase market share as we continue on the path of launching our next generation rGuest platform. Professional services remained relatively flat compared to the first quarter of fiscal 2015.
 Support, maintenance and subscription service revenues increased $1.1 million or 7.8%, largely as a result of our continued focus on selling hosted, perpetual and subscription-based services. We are pleased to see the growth trends in our recurring revenue. Our efforts to focus on this high-margin business led to quarterly record revenue of $14.9 million or 54% of our total net revenue for the first quarter. A vital part of recurring revenues are subscription-based revenues, which increased by 23%, accounting for $2.3 million or 15.5% of recurring revenues compared to a 13.6% of recurring revenues in the year ago period and 8.4% of total revenue compared to 7.9% in the year-ago period.
 Moving down the income statement, overall gross margins were 60% for the first quarter of fiscal 2016 compared to 62% in the prior year period. The gross margin decline for the fiscal 2016 first quarter was a result of gross margin decreases across support, maintenance and subscription services, as well as professional services, which more than offset improvements in gross profit margins and products. Going forward, we expect fiscal 2016 overall gross margins will be consistent with fiscal 2015 levels, in the high 50% range.
 Operating expenses, which include product development, selling and marketing, general and administrative and depreciation expense increased by 6.1% to $16.4 million in the first quarter compared to the prior year period. As a percentage of net revenue, operating expenses were 60% for the first quarter versus 65% in the prior year period. As expected, product development expense remains at similar levels to fiscal 2015, increasing by 7% to $6.3 million in the first quarter of fiscal 2016 compared to $5.9 million in the first quarter of fiscal 2015 as we continued investing in engineering resources and research and development initiatives. Going forward with that range, as a percentage of revenue through fiscal 2016, is comparable to fiscal 2015 levels.
 Sales and marketing costs increased $600,000 or 15% in the first quarter of fiscal 2016 compared with the first quarter of fiscal 2015, as we continued to previously -- continued the previously announced implementation of our sales strategy to enable us to better service our customers and meet our long-term objectives.
 G&A increased 1% for the first -- for the fiscal first quarter of 2016 versus the prior year, reflecting our investment in operating personnel as we execute on strategic activities announced in the fourth quarter of fiscal 2015, including the ongoing efforts to streamline and rationalize our back-office processes.
 And regarding amortization of intangibles, we saw a decrease of $1.5 million or 83% in the first quarter of fiscal 2016 compared with the first quarter of fiscal 2015, primarily due to a reduction in expenses related to assets becoming fully amortized, and assets being replaced or impaired during fiscal 2015, including our internal ERP replacement project.
 This led to a net loss in the first quarter of $200,000 or a loss of $0.01 on a diluted share basis, compared to a loss of $2.2 million or a $0.10 loss per share -- per diluted share in the first quarter of fiscal 2015. A marked improvement in our bottom line and proof that we are indeed improving the business and moving in the right direction. And on an adjusted basis, adjusted EBITDA was $1.2 million or a 150% improvement versus $461,000 in adjusted EBITDA in the first quarter of fiscal 2015.
 Moving to the balance sheet and cash flow statement, cash and marketable securities as of June 30, 2015, totaled $66 million compared to $75.1 million at March 31, 2015. The decrease in cash reflects approximately $6 million in spend for our ongoing product development investments.
 As we continue to invest in the transition to a subscription business and the rGuest platform this year, we expect to end fiscal 2016 with more than $50 million in cash. As our next generation product development investment cycle nears its completion later this year, we expect to generate positive free cash flow for fiscal 2017 as we also benefit from growth and subscription services bookings. And we will look to begin sharing bookings data with our investors to help further illustrate the progress that we are making.
 And we are pleased that net cash used in operations was $1.9 million, an improvement compared to net cash used in operations of $8.2 million for the first quarter of fiscal 2015. Adjusted for nonrecurring items, net adjusted cash used by operations for the first quarter of fiscal 2016 was $1.6 million compared to $5.8 million in the prior year period. And in terms of our NOLs, we currently have $180 million on our books, for which we can attribute a full valuation allowance and which will help us remain viable for just taxes paid in foreign jurisdictions along with minimal state taxes for the foreseeable future.
 With regards to our outlook for the balance of fiscal 2016, we now expect full year revenues of $106 million to $108 million, which is a moderately higher expectation for year-over-year revenue growth compared to previous expectations of revenues to be slightly above fiscal 2015 revenues of $103.5 million. We expect that our higher revenue forecasts will similarly translate to expectations for higher adjusted EBITDA compared to the fiscal 2015 adjusted EBITDA of $1.2 million. We continue to expect that gross margins for fiscal 2016 will be consistent with full year fiscal 2015 levels, in the high 50% range.
 In closing, we are pleased with the improvements across our business in the first quarter and with the solid start to the year, particularly around our ability to grow recurring revenues. In particular, higher margin subscription revenues as well as new customer acquisition, which doubled compared to the prior year. We are pleased with the consistent progress we are making -- we continue to make against our priority to prudently manage working capital, so that going forward, we can further optimize operating cash flows and continue to strategically leverage our healthy balance sheet.
 Before taking your questions, I wanted to remind everyone that we will be hosting our Annual Analyst Day on Thursday, August 27, starting at 8:30 a.m. Eastern. This event will take place at the Mandarin Oriental Hotel in New York City, and will include presentations by Jim; our CTO, Larry Steinberg; myself; and other members of Agilysys management. It is a great opportunity to get further insight into our current business strategy and rGuest platform, including its go-to-market strategy and product road map.
 If you're interested in attending and have not received an invitation, please contact our Investor Relations team via e-mail at agys@jcir.com or by phone at (212) 835-8500.
 With that, let's open the call for questions. Vince? 
Operator: [Operator Instructions] Our first question comes from Stan Berenshteyn of Sidoti & Company. 
Stan Berenshteyn: So now you've signed up 45 new clients in the quarter, is there any indication that these clients will do follow-on upgrades in the recent future? And also just additional modules or more hardware orders? 
James Dennedy: Stan, that is the intent. When we signed these customers up, most of them acquired multiple solutions in the initial purchase. So for instance, let's say, an rGuest Stay with an rGuest Pay or an InfoGenesis with a Pay. It is our intent that we would then reapproach these folks to acquire, let's say the analytics product or the Seat product and any other additions. We don't have necessarily pipeline activity that we disclosed at that level, but it is our intent to continue to upsell them on other solutions as the solutions they initially acquired basically are in success with those. 
Stan Berenshteyn: Okay. And along those lines, what drove product sales? Was it replacement cycles by existing clients? Or was it really by new client sales? 
James Dennedy: Most of the product sales in the first quarter were driven by existing customers and a product refresh cycle or hardware refresh cycle. 
Stan Berenshteyn: And is there a typical time period for product refreshes that you are finding for your clients that -- 5 years, 7 years, what -- how can we think about a typical replacement cycle for your clients? 
James Dennedy: Not everybody operates on the same refresh cycle. We've have had some operators using hardware for almost 7 years, which is unusual. Most are in the 3- to 5-year replacement cycle. There are some things that are happening in the market, vis-à-vis the Microsoft Windows XP support, that are driving some changes and demand for hardware replacement in order to maintain PCI Compliance with PCI standards that are going to be strengthened all the more in October when EMV comes in. So some of the product sales in this period are driven by some of that activity, and others are sort of a more natural hardware refresh cycle. 
Stan Berenshteyn: Got it. Got it. So hospitality industry, it's obviously very fragmented. But looking at your client base, about half your sales are coming from maintenance, can you give us an understanding of the opportunity you're seeing to sell -- upsell rGuest to the existing client base? 
James Dennedy: Well, as we indicated through a couple of examples on the call today, when customers have upgraded, let's say, lodging management for Visual One, so the latest release, they are undertaking an evaluation of our payment solution product and many have valued that payment solution product and when they've made the upgrade to the next version of LMS or the next version of Visual One, are also taking the rGuest Pay component with it. When we've been successful in either up-selling or displacing a competitor to the latest version of InfoGenesis, we have the opportunity to not only sell Pay but also Analytics and Seat as well. So those upsells are happening. However, the Pay, Seat and Analytics products are all subscription services-based. None of them are offered as a licensed business model with our customers. So while we're experiencing that success, the incremental revenue that's recognized in any period is going to be smaller than you might anticipate from a product sale. 
Stan Berenshteyn: Right. And what kind of lift to sales are you seeing on a percentage basis as you make these upgrades? 
James Dennedy: On a total contract value basis, it's easy to express. And we've talked about a -- the customer last period that was an InfoGenesis license customer that migrated to an InfoGenesis subscription arrangement with us and in so doing, also added rGuest Pay and Analyze to their order. They were approximately a $40,000 a year maintenance paying customer. And through the convergence to a subscription and adding 2 new solutions to their portfolio. They're now approximately an $85,000-a-year subscription paying customer. The deal size on a total contract value basis was a 5-year deal. That's fairly typical. 
Stan Berenshteyn: Okay. And now that you're going to market with rGuest platform, can you tell us what competing platforms your clients are considering and maybe why they have opted to go with rGuest? 
James Dennedy: I think I'm happy to talk about competing solutions. The competitors in the marketplace that we see on a regular basis would be the good friends over at Infor [ph]. We also see the folks at Oracle MICROS, the PAR Springer-Miller HBO product we see on a pretty regular basis. We hear feedback on our products that they have -- it's easier to use. It's easier to deploy. But I think the thing we're hearing most from that installed base to the customers who are making that selection is that, we're an easier company with which to do business, both from engineering services, professional services and corporate services. So it's not just a feature set buy, it's more of a relationship buy between the 2 companies. And that's the level at which I think we're winning, while the product is itself competitive. 
Stan Berenshteyn: Right. And just a final question. I know Janine just touched based on this, talking about product development and that R&D will probably be in the mid-20% range as a percentage of sales. I guess, I just want to know how we should go about looking at this with rGuest already being developed for the most part? Are you guys targeting a certain amount of spend and, therefore, it comes out to be 20% of sales? Or do we expect the absolute figure to scale up and kind of remained 20% of sales as sales increase? 
Janine Seebeck: Stan, for fiscal '16, I think what we're talking through is that it's about a 25% of sales. Obviously, as we move towards the rGuest platform, we're still managing end market in rGuest. I think as we get to better scale, you're going to see the dollar start to kind of level out, but I think that it's, this year, still that investment to get you to that 25%, and then you'll start to see it trend down as a percentage of revenue as we look into the out periods. 
Operator: [Operator Instructions] Our next question comes from Phil Bernard of Eilers Research. 
Phil Bernard: One more question on the 45 new customers you signed up. Can you talk a bit about the distribution of sales between the product sales, license versus the subscription? 
James Dennedy: We can. I've got some numbers here in front of me. So I want to sort of run through it in a little bit granular detail. Of the 45 new customers, 23 of those signed on as subscription services and 22 signed on as licensed customers of the new and the 45. 
Phil Bernard: Okay. Great. With -- just to get an idea of what type of systems you're replacing, at the Canary you mentioned that you did replace the system. Are you able to comment on what system you're able to replace, specifically? I know that's kind of an extreme granularity there, I'm sorry. 
James Dennedy: Yes. We prefer not to discuss the systems we're replacing. When we talk to our customers about the use of their names in our earnings release, we're very delicate to understand it. We just want to say that they selected us and that's about it. We don't want to attribute the reasons for why and we want to be respectful of our customers' wishes on that basis. But we have indicated to them that we would say it was a competitive replacement. We're just not going to say who. 
Phil Bernard: Got it. No, no, I understand that. With respect to the bump in product sales, I thought I heard mentioned in the call that some of that may be related to signing up new clients on the rGuest platform. Is there an associated product sales that goes along with an implemented or initial implementation of the rGuest platform? 
Janine Seebeck: So from a product perspective, basically, it's twofold, right? So for example, when someone buys rGuest Pay there is a hardware component. So there is some product revenue associated with that. But what we're also seeing is what you're seeing is more multi product sales. So you're seeing people buying a whole solution, where they're buying InfoGenesis and rGuest Pay, right? So that we're getting both components as a combined deal on that multiple sale deal. 
Phil Bernard: Perfect. And, let's see. So that's enough from the topline. When it comes to a little bit about cash flow, how do you expect to see -- so you mentioned that it should be positive by fiscal year-end '16. How do you expect to see software expenditures going forward, CapEx? 
Janine Seebeck: Sure. So from a CapEx prospective, we've obviously said we're still in an investment cycle this year. And I think, on previous calls, we've indicated, obviously, similar levels to last year, which is in that $50 million to $20 million range, which is driving our cash. We're expecting that that's going to go down more towards normalized rates in fiscal '17. So that 5% type of -- 5% to 7% type of revenue, to be able to kind of bring that back to normalized levels. And then, obviously, offsetting that will be the EBITDA or cash flow generation we're expecting from the business, with the continued growth in top line and continued management of our operating expenses to help us get to free cash flow positive. 
Phil Bernard: Okay, got it. Got it. And then a general product question. You guys are continually updating the software, which is normal. Do your customers pay for those version updates or is that something that they just plug-in and click update and they get the newest version? 
James Dennedy: If they are current on their maintenance or they are current as a subscriber, they have entitlements to the next release or the next version update. What will typically happen when that occurs is some level of professional services alongside that order for implementation, training, configuration services and maybe some modest hardware upgrades that are also attendant to that upgrade cycle of that version upgrade. As we've noted on the call, when they have upgraded to the latest release, whether it's Visual One, InfoGenesis or LMS, the latest releases also contain key components of integration that attach to the rGuest platform. And it's at that time we have the opportunity to introduce to that customer, the rGuest platform, advantages whether it's Pay, Seat, Analyze or in some cases we tried to introduce them to the Stay product in an effort to at least trial it at a property or 2 where they might be a traditional CMS customer of ours. So that's usually what happens in the upgrade cycle. 
Phil Bernard: Got it. Got it. A bit more than just an iOS update for your iPhone, if you will? 
James Dennedy: Exactly. We try to sell you some more apps. 
Operator: We do have a follow-up from Mr. Stan Berenshteyn of Sidoti & Company. 
Stan Berenshteyn: Just 2 follow-up questions. The first is, now it appears that services gross margin has still not recovered compared to the prior year's quarter. Are there still project overruns that you guys are working through? How do we think about this? 
Janine Seebeck: Sure. So, Stan, the margins in this quarter are actually back to more normalized rates. The projects that we discussed in Q4 are on track so we're not seeing any more overruns. Q1 of last year was slightly higher than normal run rates due to some custom dev projects that were included. So it is back to where we anticipated it to be. 
Stan Berenshteyn: Right. Right. And I guess, last question is now how should we look about -- or how should we consider product sales for the remainder of the year? Is there are any guidance you can give in that regard? 
James Dennedy: We don't guide on components of revenue. We have been trying to guide on the composite revenue picture that Janine provided earlier. I think that the way we're emphasizing the selling motion in the business is to prefer subscription to license-based sales, which will drive higher on the recurring revenue line than it would on a product line. And that's the way I think to think about and model the business. 
Operator: At this time, I'd like to turn the call back to Mr. Jim Dennedy for any closing remarks. 
James Dennedy: Thank you, Vince. Thank you for your interest and for your investment in our company. We would -- we believe Agilysys continues to make progress as we focus our resources on the highest value opportunities in our chosen end markets, and manage the business for the longer-term to deliver sustainable value to our customers and shareholders. 
 I want to take this opportunity to thank the very talented and dedicated team at Agilysys. Their work drives our success. I also want to thank our many customers and partners who entrust us with their business. I look forward to updating you on our progress on our fiscal 2016 second quarter call. Thank you. 
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect. Everyone, have a great day.